Operator: Good day, everyone, and welcome to Charles River Associates Second Quarter 2020 Conference Call. Today’s call is being recorded. Today’s release and prepared remarks from CRA’s Chief Financial Officer are posted on the Investor Relations section of CRA’s website as www.crai.com. With us today are CRA’s President and Chief Executive Officer, Paul Maleh; Chief Financial Officer, Dan Mahoney; and Chief Corporate Development Officer, Chad Holmes. At this time, I would like to turn the call over to Mr. Mahoney, for opening remarks. Please go ahead, Dan.
Dan Mahoney: Thank you, Rob, and good morning to everyone joining on the line. I hope everyone is doing well. Staying safe and healthy during these unusual time. I would like to remind everyone that the statements made during this conference call, including statements concerning the future business, operating results or financial condition of CRAI, including those statements using the terms expect outlook or similar terms are forward-looking statements as defined in Section 21 of the Exchange Act. Information contained in these forward-looking statements is based on management’s current expectations and is inherently uncertain. An actual performance and results may differ materially from those expressed or implied in these statements due to many important factors, including the extent in duration of the impact of the COVID-19 pandemic on our financial condition and results of operations. Additional information regarding these factors is included in today’s release and in CRAI’s periodic reports, including our most recently filed annual report on Form 10-K and quarterly reports on Form 10-Q filed with the SEC. CRAI undertakes no obligation to update any forward-looking statements after the date of this call. Additionally, we will refer to some non-GAAP financial measures and certain measures presented on a constant currency basis on this call. Everyone is encouraged to refer to today’s release and related CFO remarks for reconciliations of these non-GAAP financial measures to their GAAP comparable measures and descriptions of the calculation of EBITDA and measures presented on a constant currency basis. Let me now turn it over to Paul for his report. Paul?
Paul Maleh: Thanks, Dan, and good morning, everyone. Thank you for joining us today. Continuing to build on a record fiscal 2019 theory reported its highest second quarter revenue in our company’s history with balanced contributions across our portfolio of services. We saw growth across both our legal, regulatory and management consulting services as well as in our North American and international operations. Our results were led by double-digit revenue growth year-over-year in each of our Finance, Forensic Services and Life Sciences practices, and continued strong contributions from our Labor & Employment and risk investigations and analytics practices. Even with the success we continue to face the effects of the ongoing global health crisis. I want to take this opportunity to update you on how CRAI’s adapting to this environment. Our first priority is the health and well-being of our people as we continue to address our client’s most important business challenges. We are focused on providing our colleagues with the foundation of stability and safety during this unprecedented time. Although our offices remain open and capable of hosting our colleagues, we have asked everyone to work from home whenever possible. We will return to the office when it is appropriate to do so as our office experience sponsors collaboration, mentorship and collegiality. We’re planning a phased, deliberate return to our offices across our geographies, the timing of which depends on local conditions. Turning to the second quarter, new project originations were down 4% year-over-year. We remain up 15% for the first half of 2020 relative to the first half of 2019, providing us with a solid foundation for the months ahead. The trend in new project originations continues to be impacted by the decline in M&A activity and delays in the U.S. court system. Global mergers and acquisition activity in dollar terms is down approximately 50% through the second quarter compared to last year, with transactional volume for the second quarter of 2020 tipping to its lowest point since 2004. The decline was steeper in the Americas, with deal activity measured in dollar terms decreasing nearly 70% in the first half of 2020 compared to the same period last year. This represented the lowest M&A activity in the Americas since 1998. In the litigation market during the second quarter, total case filings were down approximately 20% year-over-year. However, a subset of matters more closely aligned with CRA service offerings, so our case filings declined by roughly 10%. As the rate of change varied greatly depending on the type of litigation. For example, Antitrust case filings in the second quarter increased approximately 10% year-over-year, while Intellectual Property filings declined approximately 25%. Within the courtroom, case activities remain down. For example, total court judgments during the second quarter were down approximately 25% relative to the second quarter of 2019. This suggests that court rooms, continue to be impacted in their ability to handle normal litigation caseloads. Against this backdrop, I want to congratulate my colleagues for delivering such strong performance in spite of these market headwinds. Shifting gears, I’d like to spend a few minutes on the practices that performed well during the second quarter. First, I want to highlight our Finance practice. CRA continues to work on matters arising from the government’s investigation of institutions and individuals for alleged spoofing, and related manipulative activity in financial markets. In addition, CRA’s finance practice continues to work on securities litigations, merger related litigations and international arbitrations. Our Forensic Services practice continues to experience strong demand from companies that need help responding to alleged allegations of fraud, cybercrime, misconduct and non-compliance. During the second quarter, on behalf of one of the nation’s largest energy companies, the practice deployed extensive digital forensics and investigative capabilities to investigate allegations that a key employee has been transmitting large quantities of critical infrastructure security and trade secret data to afford entity. The practice also continues to conduct hundreds of cyber incident response matters each quarter across a broad range of industries and geographies. During the second quarter, the risk investigation and analytics team investigated allegations of a complex procurement fraud involving suppliers of a global technology company operating in multiple international jurisdictions, including an investigative review of processes related to supplier on boarding, wedding and management. We also assisted a global hospitality client with its internal investigation into possible office of Foreign Asset Control violations in multiple U.S. sanction countries. CRA’s Labor & Employment practice continues to be retained in a variety of class or collective actions associated with gender and race ethnicity discrimination allegations as well as alleged wage and hour violations. During the second quarter, the practice partnered with CRA’s competition practice on an increasing number of matters involving unlawful anti-competitive employment agreements. The practices also witnessed an uptick in the number of companies undertaking proactive reviews of employment decisions including compensation and terminations as they pertain to various employee populations. Our Life Sciences practice remains quite busy. For a pharmaceutical company, we’re using our analytics capabilities and claims data to help launch a new rare disease product to help the company and positions to identify possible patients afflicted with this rare disease. During the quarter, the practice was also involved in a major arbitration assessing liability with respect to the exercise of commercially reasonable efforts regarding the development of a cancer therapeutic. Finally, our policy sector continues a mix of pro-bono and paid work regarding responses to the Coronavirus pandemic. Again, I’d like to thank my colleagues for delivering such strong performance in the second quarter. Although, we are not reinstating guidance, I want to provide some additional information to help with your assessment of our performance going forward. First, I want to point you to our actual performance through the first six months of fiscal 2020. Combining the revenue and profit growth of the second quarter with our strong Q1 performance on a constant currency basis, we have increased revenues by 15.7% to $250.3 million and non-GAAP EBITDA by 24.2% to $25.1 million, achieving a margin of 10%. Next we look to our weekly labor billings as a reminder this productivity metric represents the dollar value of time incurred by our consultants on client projects. To move from labor billings to net revenue, a number of adjustments are made to account for items such as reimbursable expenses, non-employee consultant billings, fixed-price projects and write-offs. We enjoyed relative consistency of labor billings week to week during the second quarter. Extending the time frame during the first four weeks of Q3, we have seen average weekly labor billings remain roughly consistent, with the average observed for Q2. Of course going forward, labor billings will fluctuate with demand, as well as vacation and holiday schedule. Finally, we turn to our cost structure. Looking ahead to Q3, we expect our cost of services and SG&A, excluding the commissions paid to non-employee experts on a dollar basis to be similar to the amounts experienced in the second quarter of 2020. Although we’re pleased with our performance in the second quarter, we recognize the challenges and uncertainty that accompany the ongoing COVID-19 pandemic. We are proud of the company that we have built and we remain confident that the people who have driven our success in recent years will continue to drive our performance in the months and years ahead. And now, I’ll turn the call over to Chad and then Dan for a few additional comments. Chad?
Chad Holmes: Thanks, Paul. I want to provide a few comments about our capital deployment during the quarter. For the trailing 12 months ending Q2 2020, CRA’s adjusted net cash provided by operating activities was $78.8 million or 46% higher than a year ago, driven primarily by the growth in our business and reduced overhead spending in Q2. As a reminder, this metric begins with net cash provided by operating activities from our statement of cash flows and adds back net forgivable loan issuances which are predominantly used for talent acquisition and talent maintenance. Adjusted net cash provided by operating activities represents a discretionary pool of capital used to fund items such as talent acquisition, office expansions, debt repayment and re-distributions to shareholders. Consistent with prior quarters, our capital expenditures have been directed primarily towards office build-outs and expansions that were launched prior to the pandemic. During the second quarter of fiscal 2020, we spent approximately $5.6 million on property and equipment with investments focused on our office build-outs in Auckland, New York and Toronto. For the remainder of fiscal 2020, we expect to spend approximately $3.5 million on total capital expenditures. As Dan will describe in greater detail. During the quarter, we repaid $11 million of our borrowings under our revolving line of credit. Also during the second quarter of fiscal 2020, we made dividend payments totaling $1.8 million. Finally, we announced earlier today that our Board of Directors declared a quarterly cash dividend of $0.23 per common share payable on September 14, 2020 to shareholders of record as of August 25, 2020. And now I’ll turn the call over to Dan for a few final comments. Dan?
Dan Mahoney: Thanks, Chad. As a reminder, more expansive commentary on our financial results is available on the Investor Relations section of our website under prepared CFO remarks. Before we get to questions, let me provide a few additional metrics related to our performance in the second quarter of fiscal 2020. In terms of consultant headcount, we ended the quarter at 802 which consisted of 136 officers, 450 other senior staff and 216 junior staff. This is a net increase of three compared with the 799 consultant headcount reported at the end of the first quarter of fiscal 2020. Non-GAAP selling, general and administrative expenses as a percentage of revenue, excluding the 2.4% attributable to commissions to non-employee experts was 15% for the second quarter of fiscal 2020, compared with 18.6% a year ago. This quarter’s ratio was positively impacted by the strong revenue for Q2 and effective management of our overhead. Additionally, travel and entertainment expenses were significantly lower year-over-year primarily due to travel restrictions in various jurisdictions. We will continue to monitor our discretionary expenses to properly manage risk and proactively mitigate the financial impacts from COVID-19. The effective tax rate for the second quarter on a non-GAAP basis was 24.8% compared with 29.6% on a non-GAAP basis for the second quarter of 2019. The lower rate in the second quarter of 2020 was attributable to strong, continued strong profit generation, a larger benefit arising from the accounting for stock-based compensation and lower meals and entertainment in the current quarter relative to last year. Turning to the balance sheet, DSO at the end of the second quarter was 107 days compared with 103 days at the end of the first quarter of fiscal 2020. DSO in the second quarter consisted of 70 days of billed and 30 days of unbilled. Relatively, our pace of collections has been consistent both before and after the World transitioned to a remote work environment. The company’s liquidity remain strong, totaling approximately $80 million when taking into account our available capacity on our revolving line of credit and our cash balance. Looking more closely at the components, during the second quarter, we paid down $11 million on our revolving line of credit to bring the outstanding balance down from $70 million at the end of fiscal Q1 2020 to $59 million at the end of Q2. We concluded the second quarter of fiscal 2020 with $18.8 million in cash and cash equivalents, with the majority residing internationally. That concludes our prepared remarks. Rob, we would now like to open the call up for questions.
Operator: Thank you. We’ll now be conducting a question-and-answer session. [Operator Instructions] Thank you. Our first question is from the line of Kevin Steinke with Barrington Research. Please proceed with your question.
Kevin Steinke: Hey, good morning, everyone. And congratulations on the nice results in the permit. I wanted to follow about weekly labor buildings. You had said relative consistency week to week throughout the second quarter and that has continued into the first few weeks of the third quarter. When you see relative consistency, do you mean on a kind of an absolute dollar basis or a year-over-year rate of change basis, because I know you had talked about in the March 1 through April 24 period at weekly labor buildings were up billings were up 8% year-over-year. So should we think about it more as a growth rate or absolute level, I guess.
Paul Maleh: Sure. Good morning, Kevin, and thanks for the nice comments about the quarter. So we compared the first four weeks of Q3 to the weekly average for Q2. So when we talk about relative consistency, we are talking about the dollar level, weekly dollar levels, achieved during those first four weeks of Q3 to the weekly dollar levels that were achieved throughout Q2.
Kevin Steinke: Okay, thanks, that clarifies it for me. And you highlighted a number of your practices that did well during the quarter. Can you maybe review for us, why those particular practices are doing well in this environment?
Paul Maleh: We highlighted a handful of practices, I could have gone through our entire portfolio of practices. We have seen growth not contraction, growth across both litigation lines of services, across management consulting services and across our geographies. And although, I was pleased with the performance, it’s hard to say that I am surprised by the performance. My colleagues and these services have been delivering exceptional performance over the past five years, over 2019 over the first half of 2020. I think we are doing an exceptional job growing revenue, growing profits at a faster rate, and I think we would compare favorably to the market as a whole, you know who are competing in this space. So, we highlighted some firms that are achieving double-digit revenue growth, amidst all the craziness around us but as you notice from quarter to quarter, Kevin, that mix of firms have changed, from that quarter. So, hats off to finance, life sciences, forensic services, labor and our investigation analytics practice, but I could have just as easily have talked about other parts of my portfolio.
Kevin Steinke: Okay, great. And I just wanted to ask about your largest practice Antitrust & Competition Economics. Obviously, you highlighted the weak M&A trends but Antitrust filings actually up year-over-year. Should we think about to whatever extent you want to comment, that practice being down overall year-over-year in the most recent quarter and the most recent weeks? Have they’ve been able to take share? What kind of water trends are you seeing in that practice?
Paul Maleh: Sure. Our Antitrust & Competition Economics practice is probably the victim of such lofty standards that they’ve set over the past number of years. So when I say they’re down, they are still one of the most highly utilized practices within CRA. They are still one of the most profitable practices within our portfolio, they clearly have been negatively impacted by the M&A deal flow, but we’re starting to see building strength in that practice from an occasional merger that is being announced and also increase of activity in a antitrust work. So that is some positive color I can give to our largest practice at CRA. As I’ve said numerous times, if I had any practice to be worried about. I’m really glad it’s our competition practice because that says my portfolio will be just fine going forward.
Kevin Steinke: Okay, good. And I noticed you had a couple of recent announcements on adding some VP level consultants in your risk, investigations and analytics practice. Maybe talk about and that’s your newest practice, but the trends you’re seeing there, what’s giving you confidence in adding to that practice in this environment and kind of the outlook for that newer practice?
Paul Maleh: Sure. You’ve seen some additions within our new practice, the risk investigation practice. You’ve seen some new additions in our Antitrust Competition practice. So we’re still being active in the marketplace. I think being an exceptional financial performer also goes hand in hand with being an attractive destination of top talent, and we’re seeing that across our portfolio. When we make investments in our service portfolio, we do it with the long game in mind. I’m a fan of my colleagues, not just in the new risk investigation practice but across my portfolio. So, I think there is value to be had from continuing to invest in those services and we saw some of that value start to reap the benefits of some of that value during Q2, as some projects came back to life and they also have secured some new assignments there.
Kevin Steinke: Okay, great. And lastly for me, you know third quarter is typically when we see a ramp up in the consultant headcount as you do more on-campus hiring during that period. What are your plans or what are your thoughts about hiring as you move into the third quarter here. And should we kind of expect to see that typical sequential ramp.
Paul Maleh: Sure. I think in the third quarter, I believe, both in our release and the comments that Dan provided, you should see very little sequential growth from Q2 to Q3 in the head count. I believe, only a small handful of individuals in terms of the net increase there. Right now, we have some hires that will be joining us in Q4 and Q1. These are university hires, as part of our normal rotation. So I would say there are more delivery capacity in our pyramid. But we are still looking to add, what I would call revenue generating capacity. Senior resources are always difficult to come by and we’re going to take advantage of the market for that talent coming to CRA.
Kevin Steinke: Okay, thanks. That’s all I had today.
Paul Maleh: Thank you, Kevin. Take care.
Operator: [Operator Instructions] Thank you. At this time, I will turn the floor back to management for final remarks.
Paul Maleh: Great. Again, thanks to everyone for joining us in today’s call. I am very proud of the performance that this firm continues to deliver to its shareholders. We are not contracting on a revenue basis. In fact, we’re growing revenue, we’re growing profits and all the credit goes to my colleagues throughout the organization. We appreciate your time and interest in CRA. We will be participating in virtual meetings with investors in the coming months and we look forward to updating you on our progress on our third quarter call. Be safe everyone. With that, this concludes today’s call.
Operator: Thank you, everyone. You may now disconnect your lines at this time. Thank you for your participation.